Operator: Greetings and welcome to the Ball Corporation 4Q 2021 Earnings Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions]. As a reminder, this conference is being recorded Thursday, January 27, 2022. I would now like to turn the conference over to John Hayes. Please go ahead.
John Hayes: Great. Thank you, Malika, and good morning everyone. This is Ball Corporation's conference call regarding the company's fourth quarter and full-year 2021 results. The information provided during this call will contain forward-looking statements. Actual results or outcomes may differ materially from those that may be expressed or implied. Some factors that could cause the results or outcomes to differ are in the company's latest 10-K and in other company SEC filings, as well as company's news releases. If you don't already have our earnings release, it's available on our website at ball.com. Information regarding the use of non-GAAP financial measures may also be found in the notes section of today's earnings release. The release also includes a table summarizing business consolidation and other activities, as well as a reconciliation of comparable operating earnings and diluted earnings per share calculations. Joining me on the call today are Dan Fisher, our President and CEO Elect; and Scott Morrison, our Executive Vice President and CFO. I'll provide some introductory remarks; Dan will discuss our company's performance and trends; Scott will discuss the key financial metrics, and then we'll finish up with closing comments. 2021 was a strong year for Ball. We exited the year with momentum and expect another strong year in 2020. Our global beverage can volumes were up 7%, aerospace revenues were up 10%. Comparable operating earnings increased 12% and comparable diluted earnings per share increased 18% despite ongoing challenges related to the pandemic, adverse weather events, global supply chain disruptions and higher costs. We also increased EVA dollars over 7%, returned approximately $950 million to shareholders after investing over $1.7 billion in capital expenditures in 2021. For the fourth quarter global beverage can volumes increased 7%, comparable operating earnings increased 17%, and comparable diluted earnings per share were up 20% versus 2020 despite persistent dunnage shortages and cool rainy conditions during the Brazil seasonal summer, which muted overall shipment growth in the fourth quarter and the full-year. As we look forward, we expect growth to accelerate further supported by strong demand for sustainable aluminum packaging, aerospace executing on significant contracted backlog, reefing returns on capital deployed, and maintaining pricing leverage across our innovative and sustainable product portfolio. Yesterday in addition to declaring our quarterly dividend and following our review of the company's governance profile, our board of directors amended the company's bylaws to accomplish three things. One, to opt out of the classified board structure required by Indiana Business Corporation Law in order to begin to destagger our board; two, to prevent shareholders to amend the bylaws; and three, to increase the board retirement age to 75 years from 72 years. As per the press release we issued yesterday, the board intends to recommend shareholders approved the amendments at our 2022 shareholders meeting, and more information will be found in the forthcoming proxy statement. In addition, and as part of a multi-year succession planning process that began before the onset of the COVID pandemic, we announced that Dan Fisher will be assuming the role of CEO and then I'll remain Chairman. Dan is ready, and all of us on the board have a high degree of confidence in his ability to lead our great company. Dan will be the 12th person in our 142 year history to have the privilege to serve as Ball's CEO. Going forward I’m handing over the reins to Dan to lead the company and after 70 earnings and M&A calls with the investment community over my 20 plus years with Ball, today will be my last one. You're in great hands going forward. And I can also say with confidence that while I will miss you all I will not miss these calls.  My time going forward will be spent sharing the board and its related responsibilities, helping Dan on our sustainability advocacy work with various stakeholders, burling in on the philanthropic work that my wife Susie and I have established, spending more time with family and friends, and perhaps most importantly, being the biggest cheerleader of this great institution. Thanks to each of you for your support over these years. This is an amazing company in an amazing industry working with and in conjunction with amazing people. If you were to give me a clean sheet of paper to design the most ideal job in the world, it would be this and I'm the luckiest person in the world for that. And it is time, Dan has proven that he is ready and has an excellent management team to continue and accelerate the strong financial, operational and cultural performance we have experienced not only since 2010, but indeed since 1999 when I joined the company. When I reflect on becoming CEO the bar was set very high then into me our Drive for 10 vision was intended to replicate or exceed the prior decades performance and returns over the following decade. And you know what? We did just that. And at the same time, as we sit here today, we have more opportunities to continue this growth than we did in 2010. And there's never been a better opportunity set then the company has in front of itself. However, what will be required to capitalize on those opportunities going forward; will no doubt be different than what was required in the past. There will of course be challenges Dan and the team will face, but the leadership, the culture, the people, our EVA and ownership mindset, and our Drive for 10 vision will be there to support and guide Dan and team just to say were there for me and team. Right now, I also think about the more than 24,000 employees around the world. The power of we not me at all is alive and real. And it has been an honor to serve our company alongside them. They really are what makes the company better each and every day. Those aren't just words, it's the truth. So it's with great pride and optimism that I turn the call over to Dan and Scott, to speak to our performance and the outlook for 2022 and beyond. Thank you, everyone. And with that, our new incoming CEO, Dan Fisher. Dan?
Dan Fisher: Thanks, John. I would be remiss if I didn't properly and publicly thank John Hayes for his 22 years of service to Ball Corporation, and for his personal support, and mentorship of me as a leader at Ball. Some of you may have listened to nearly all of the 70 earnings and deal-related investor calls John has participated on during his tenure. As you know, John dedicated his time to ensuring the company remained committed to its longstanding culture. EVA and ownership mindset and high ethics, while also being innovative, inclusive, sustainability-driven, and positioning our business for global growth, while also supporting our communities where we live and operate and generating great returns for fellow shareholders. We as owners and students of Ball in our industries are better off, because of his leadership and dedication. We'll forever be indebted to you, John. The performance and stock price development under your leadership speak for themselves. And while it is indeed a team sport here at Ball, John was the team captain for the past decade. John, thank you for setting a high bar for us. I can assure you that speaking on behalf of all Ball employees; we're focused on replicating and/or exceeding the company's performance under your leadership. Another decade with nearly 500% return sounds pretty good. Our team is up to the task. I'm humbled and honored to assume the role of CEO and carry on the Ball culture, Drive for 10 vision, EVA discipline, and ownership mindset. And as the same goes, if it ain't broke, don't fix it. We know who we are. We know where we're going. And we know what is important. Now on to reviewing our performance and outlook. We continue to strive to keep our team safe and educated about vaccinations and boosters and focused on their mental health. We're not immune to the external forces impacting the global operating environment. However, our teams are doing a heck of the job at navigating those external forces and filling in for one another when needed. We extend our well wishes to our employees, customers, suppliers, stakeholders and everyone listening today. 2021 was another year where our Ball team and businesses faced challenges and through it all rose to the occasion to care for one another and deliver value to our stakeholders. In 2021, our business highlights included our global beverage business completing the startup of four new multi-line facilities, three in North America, one in South America and the expansion of existing facilities across all regions. The company also announced five additional Greenfield facilities, two in North America, and three in EMEA, which will come online in 2022 and beyond. Our global aluminum aerosol team introducing new re-closable aluminum bottles for personal care and other categories. Our aluminum cups team signed contracts with the world's largest retailer and continue to have our cup featured at key sporting events and venues. Our aerospace team expanding its infrastructure, opening its state-of-the-art payload development facility in Broomfield, Colorado, expanding our aerospace manufacturing center in Westminster, Colorado, as well as successfully launching the Ball-built OLI land imaging instrument on NASA's Landsat 9 satellite, the XV astrophysics mission spacecraft in the Optics and Mirror Systems aboard the James Webb Space Telescope. Our North America aluminum packaging business continuing progress towards aluminum stewardship initiative certification, following South America's ASI certification in the fourth quarter of 2021, and EMEA's ASI certification in 2020. The company also announced the Ambitious 2030 sustainability goals, including inclusion and diversity goals, recycling goals, and our aspiration to achieve net zero before 2050. Our businesses hired over 2,600 people in 2021 to support our long-term growth and attrition largely due to retirements and returning approximately $950 million to shareholders after investing $1.7 billion in capital expenditures to generate additional profitable growth for decades to come. In 2021, our global packaging businesses absorbed $120 million of non-aluminum inflationary headwinds and additional costs of startup for new facilities. Also, in North America, EMEA and South America, operational efficiencies, price costs squeeze and advance of contractual cost recovery and geopolitical volatility respectively, resulted in loss to reduction and money was left on the table in 2021. As we embark on 2022 contractual price escalators based on PPI and other indices, which phase in throughout the year, normal cost pass-throughs and our additional commercial cost recovery program benefits will generate significant incremental value and support higher levels of growth capital in 2022, which Scott will discuss later. Demand for aluminum beverage cans continues to outstrip supply around the world. We shipped 112.5 billion cans in 2021, 50% were specialty cans and we exited 2021 with 12 billion units of new installed capacity. We also have plans in place to exit 2022 with another 12 billion units of new installed capacity. Capacity available to sell through in 2023 and beyond, announced projects in line additions in existing facilities all underscore our late 2020 Investor Day commentary and additional long-term EVA generating contracts for committed volumes are now in place to domestically supply our customers in the regions where we operate in 2022 and beyond. In addition to global beverage, our aerospace aluminum aerosol and cups teams continue to win new work and position and train talent to support multi-year growth and offset attrition largely due to retirements. To all the teams listening, thank you for finishing the year strong and leaning into another year of growth. We also appreciate your efforts to operationalize and commercialize sustainability, drive our D&I goals and live the Ball culture. As we discuss throughout 2021, growth isn't always linear. We continue to rely on our supply chain raw material inputs and look forward to additional investments being announced in 2022 to enable more growth for aluminum packaging. Given our established global scale, significant increase in installed capacity exiting 2021, our capable asset base and innovative product portfolio we're on course to achieve double-digit global volume growth and global specialty mix in excess of 50% for full-year 2022 and sold out market conditions continuing beyond 2022. Now a few brief comments on each region. In North America beverage fourth quarter shipped volumes were up 5% and versus 2020 fourth quarter excuse me -- fourth quarter 2019 volumes were up 16%. During the fourth quarter, earnings were up nearly 17% as volume growth specialty mix, and the operational benefit of better finished goods inventory levels, more than offset higher cost and operational efficiencies and legacy plants brought about by dunnage tightness and indirect supply chain disruptions. Glendale and Pittston exited 2021 with four can manufacturing lines installed and each have room for additional lines. Our Bowling Green Ins manufacturing plant started up successfully early in the quarter and continues to operate after incurring some roof damage during the December South Eastern U.S. tornado outbreak. We are thankful our Bowling Green team and their families are safe. The plants teams leadership safety actions and post event resiliency were outstanding. The business continues to work to build adequate inventory levels is ongoing. These actions formulate contractual price increases, higher levels of domestically produced cans, and cost recovery will further position the plants and our business for strong double-digit growth in 2022. Ball's previously announced multi-line Greenfield plants in Nevada and North Carolina are supported by long duration contracts with strategic global customers and are on track to come online in late 2022 and early 2024 respectively. In EMEA, shipment volume for the fourth quarter was up 6% versus 2020 on tougher comps given prior-year's 20% volume increases due to COVID reopening timing, and were also up due to customers adding new can filling investments. Across Ball's EMEA business, demand trends and positive momentum continues. Near double-digit growth in 2022 will be driven by new and existing categories utilizing cans and available cans from our 2021 line additions and speed ups across the region. In 2023 and beyond, our new Greenfield plants in the UK, Russia, and Czech Republic, which are supported by long duration contracts for committed volumes with global and regional key partners will extend our ability to serve growing customers and categories. Our EMEA team is executing very well in managing complex country-by-country supply chain issues. Key inputs are in tight supply, and though we have contracts and mechanisms to control costs, we're keeping a watchful eye on driver availability and pandemic-related labor shortages impacting timely stocking in store shelves. In South America, fourth quarter volumes were up 3% versus 2020 and up 16% versus 2019. 2020 volumes were up 12% versus fourth quarter 2019 due to timing effects related to COVID rebound and warmer temperatures during the seasonal summer fourth quarter. Cooler than normal seasonal temperatures and excessive rain in Brazil contributed to softer than anticipated volumes during the fourth quarter of 2021. We continue to see more earnings upside in South America in 2022 and beyond. The Frutal Brazil plant start-up its second line during the first quarter of 2022. Additional investments throughout the region continue to be on schedule. In summary, our global beverage team is preparing ourselves and our supply chains for long-term durable growth while managing notable volatility. Our customers are continuing to lean on the can as their package of choice, as brand proliferation and the blurring of the category lines accelerates. We are operating safely controlling the things we can control, recovering costs, delivering high quality cans to our customers and even more new facilities supported by equitable contracts and closely monitoring global supply chains. Our aluminum aerosol team did a good job supplying growth across North America. The team continues to manage varying degrees of consumer demand volatility in Brazil and India. The business continues to make progress on the rollout of refillable reclosable aluminum personal care and bottle packaging across multiple categories. To support the new cups contracts I mentioned early, we have increased marketing investments and are adding another cup manufacturing line in our Rome, Georgia cups plant. Following this investment, both lines will be capable of making multiple cup sizes. We anticipate profit starting in late 2022. And turning to aerospace, the team continued to win contracts and maintain record backlog. Segment operating earnings were up 38% in the fourth quarter versus 2020 supported by improved program execution. Carrying in the momentum from the fourth quarter, the business continues to be positioned for sales and earnings growth in 2022 and margin improvement in 2022 given the contract mix. Across all our operations, we are increasing year-over-year capital in training investments to deliver on strong contracted demand and position our plant operations for success. We appreciate all of the amazing work being done across the organization. And with that, I'll turn it over to Scott.
Scott Morrison: Thanks, Dan. Dan and John, I couldn't be happier for both of you. Congratulations, John. Thank you, first and foremost for your friendship and for everything you've done for Ball. It's been a hell of a lot of fun. And thank you for your continued thought leadership on sustainability going forward. Dan, I'm very happy for you, your family and for Ball. This is a great day. You're a great leader and ready for this role. I look forward to us continuing to work together. I have one word of advice for John. Work on your putting. When you don't have the CEO title, you're much less likely to be given those three foot putts. And now to the numbers. Fourth quarter 2021 comparable diluted earnings per share were $0.97 versus $0.81 in 2020, an increase of 20% and comparable full-year 2021 diluted earnings per share are up 18%. Fourth quarter and full-year sales were up due to pass-through of higher aluminum prices, higher sales volumes, and improved mix. Comparable fourth quarter diluted earnings per share reflects strong results in North America, aerospace and other non-reportable, and lower year-over-year corporate cost during the quarter offset by unfavorable Euro earnings translation. In addition, the Ball and Platinum Equity announced sale of the Ball Metalpack investment closed yesterday. As a minority partner, Ball's net proceeds from yesterday's transactions were approximately $300 million. The sale represents the final step involves two step exit from the tin-plate steel food and aerosol businesses. Recall that Ball received approximately $600 million in cash proceeds in 2018, but our legacy steel food and aerosol assets were sold into the minority owned JV with Platinum. Ball's balance sheet is very healthy with ample liquidity and flexibility. Year-end net debt to comparable EBITDA was 3.4 times and within our optimal leverage range. As we sit here today, some additional key metrics to keep in mind for 2022. Our full-year effective tax rate on comparable earnings is expected to be in the range of 19%. Full-year interest expense will be in the range of $270 million and full-year corporate undistributed costs recorded in other non-reportable is expected to be in the range of $120 million to reflect higher year-over-year incentives based on anticipated higher performance and investments to our systems infrastructure to support our robust growth. At this time, and given additional growth projects in all of our businesses to support EVA enhancing contracted volumes, we expect 2022 total CapEx to be at least $2 billion and to return in the range of $1.75 billion to shareholders in the form of share buybacks and dividends in 2022. We continue to see a path to doubling our cash from operations by 2025. And look forward to even more opportunities to invest in our businesses for profitable returns. Rest assured, Ball continues to be good stewards of our cash as fellow owners and through the lens of EVA discipline, we will prudently balance growth opportunities with consist return of value to our shareholders via dividends and share repurchases. We look forward to consistently investing in our business and returning even more value to shareholders in the coming years. With that, I'll turn it back to you, Dan.
Dan Fisher: Thanks, again, Scott. In summary, our Drive for 10 vision continues to serve as our guide. We know who we are, we know where we're going, and we know what is important. We are positioned to exceed both our comparable diluted earnings per share long-term goal of 10% to 15%, as well as our EVA dollar growth goals of 4% to 8% per year in 2022 and beyond. While we are not immune in facing inflation, volatility and supply chain headwinds in the near-term, we are confident that we will get through it successfully and maintain our pricing leverage. Over our 142-year history, it has been done before, and it will be done again. The decadal shift that will favor our packages is happening. We look forward to continuing our journey and being close to our customers, focusing on attention to detail, acting like true owners of the business, being good corporate citizens to our people and our planet and returning value to our shareholders. And with that, Malika, we are ready for questions.
Operator: Thank you. [Operator Instructions]. Our first phone question is on the line of Christopher Parkinson with Mizuho. Please go ahead. Your line is open.
Christopher Parkinson: Good morning and congratulations on incredible career John and good luck in all your future endeavors, and also to you, Dan, congratulations, on your new role as CEO.
Dan Fisher: Thank you. 
Christopher Parkinson: I just -- I was just wondering if you could just parse out a little bit more the volume trends by region and specifically you discussed some headwinds in South Americans weather-related impacts, in the fourth quarter, I think in North America on overall earnings, when we think about 2022 and some of those headwinds, maybe not recurring, how should we think about that demand progressing throughout the year?
Dan Fisher: Yes, great. Maybe I'll start with kind of how we're seeing 2022 and the growth by the three large regions. Commented in my prepared remarks, and as you know, we've installed quite a bit of the $12 billion capacity that's exiting 2021 is in North America. So you would expect, and that's what we anticipate double-digit growth in that region. In Europe, we've made a lot of incremental investments. And so we think that that team will be able to deliver near double-digit growth. And in South America, we anticipate we've commented on the 4% to 6% long-term growth trajectory. We anticipate being north of the -- or in the higher range of that. And in all total, I mean, we've got a really strong chance to get to double digits in the global beverage business with the capacity we've installed and the demand profile and the execution. A little bit more commentary in and around South America. We were just talking to that team the other day. I mean, keep in mind, in the fourth quarter, I think in Brazil, in particular, that's really where we had some demand disruption versus sort of what we anticipated ending in the quarter. I think the rain in Brazil was up something like 300% versus a normal rainfall estimate. And then there were a lot -- that's their peak season, and COVID started to show up in November and December and they shut down a lot of opportunities for folks to congregate and get together and consumed can beverages. So those were the two fundamental issues that precipitated in Brazil. The good news and why we were able to deliver growth is we're -- we play in a lot more areas and countries in that region than in Brazil. And so that's what trended us toward growth is, we had a really nice performance in a number of the other countries that we participate in. As we sit here today, COVID still persists. And so we're obviously monitoring it. It is peak season. The rain has stopped. The weather has improved. Those things are moving in a direction for South America, but we need to get beyond, what the entire world's dealing with relative to Omicron to see us return to kind of what we should anticipate normally in the first quarter in South America.
Christopher Parkinson: All right. No, that's extremely helpful. And then just a really quick one, obviously, whether it's been supply chain logistics, raw materials, a lot of people have been dealing with higher costs. And I think you mentioned you initiated additional cost recovery mechanisms throughout the quarter. If we assume that this persists a little bit longer into, let's say the first half of next year. Can you just discuss a little bit more what those actions are in terms of your cost recovery actions and any additional leverage you can take to help offset this in the near term?
Dan Fisher: Yes, thanks for that. So one thing, to keep in mind is, we didn't make this as clear -- we're doing it in all of our businesses. So that's one thing that wasn't maybe as clear, when we commented on this plan of attack at the last earnings call. The teams are fundamentally going out and having conversations in a Ball fashion with each one of our major customers. And so we're sitting at the table as partners and we're having those conversations. And I would say the feedback at this point overwhelmingly is we've made really good progress. We will see that improvement in 2022. One of the things you're pointing out is those conversations start with a point of view on what the world looks like. And so two months ago, I don't think anybody anticipated what was on and energy prices for instance, and the Ukraine impact. So we will have to have ongoing conversations as things in the world show up that none of us have anticipated or modeled, but the team's done a really nice job. And I think we're working toward a really nice plan and we should see that show up in 2022.
Operator: Thank you. And our next question is from Ghansham Panjabi with Baird. Please go ahead. Your line is open.
Matt Krieger: Hi, good morning, everyone. This is actually Matt Krieger sitting in for Ghansham. First off, congratulations to John and Dan, on the announced elections and transition yesterday. I just dive-in right into -- just dive-in right into my first question here. Can you provide us with an update on some of the key growth categories across the beverage can market, with a particular emphasis on some of the categories that may have seen some choppiness over the past year -- years, so such as, as hard seltzer and other product, it seems like there's plenty of new introductions and momentum elsewhere, but if we could get some details on that that would be great.
Dan Fisher: Sure. And I'll attempt to parse out some of this by region. I would say globally, energy drinks are on fire. And we have a -- we have a very strong position with a number of those folks. And so we've benefited from that in terms of our growth profile. Beer continues to grow across the world. But I'd say we saw an inflection of CSD as well in Europe. And we have a strong position there. In South America, all of the growth was fundamentally muted by weather patterns, but again, beer is the dominant player there. So growth happens in -- growth happens or doesn't happen as a result of beer in South America. In North America, in particular, we saw growth in CSD, double-digit growth in energy, sparkling water, slight growth, domestic beer was down. Hard seltzers were down slightly. And craft beer was down slightly. But the largest category CSD and energy kind of for us and our portfolio did well. And that's what sort of carried today for us in North America.
Matt Krieger: Great, that's helpful. And then can you talk a bit about how free cash flow is expected to evolve in 2022? Maybe bridge 2021 to 2022 and then can you comment on some of the challenges or hurdles that you have to get over in deploying over $2 billion of capital in an environment that is increasingly marred by labor shortages and disruptions and kind of absenteeism? Some detail there would be great.
Scott Morrison: Sure. On the free cash flow front, we actually did a little better in 2021 than we expected, we had some milestone payments that we collected really from our aerospace business that helped us. Also if, when commodity prices rise, when aluminum rises, we get a benefit from a working capital standpoint, because we have longer payable terms than we have receivable terms. And so that helped working capital in 2021. In 2022, we're kind of expecting relatively flat commodity prices and expecting free cash flow to be or working capital to be relatively neutral. As it relates to deploying the capital, our teams have done a fantastic job of all the new builds, all the incremental lines that we put in plants, on time, on schedule, there's a slip here or there for maybe a week or so. But I have to commend our operating folks; they have done a spectacular job. Despite all the challenges, despite the COVID challenges, despite the supply chain challenges, they've really done an excellent job. So it's not without challenges. But I think we have a really good plan as to how we're going to deploy this $2 billion of capital. And we expect the strong performance operating performance to continue.
Dan Fisher: One build on Scott's comments relative to the execution of deployment. Remember, three, four years ago, what we decided to do was create a global engineering organization. And so we have the ability to deploy resources, not region dependent, but where the work needs to be done. And that team has done a remarkable job of organizing itself, standardizing installed base, I think we got upfront of the process equipment by, I think there's been a lot of things that we've done right over an extended period of time that are now showing up. And you can't underestimate the fact that we're hiring people well in advance. We're training them, when they come in, they know what to do. They feel safe, operating in our environments. And I think that's enabled us to retain people, far in excess of kind of what the industrial manufacturing sector is doing. So knock on wood. We're really encouraged about what we've done. And it's a really good building block and gives us a great deal of confidence that we're going to be able to continue to do that over the next 24 months.
Operator: Thank you. Our next question is from the line of Anthony Pettinari with Citi. Please go ahead. Your line is open.
Anthony Pettinari: Good morning. And congratulations to John for everything you've accomplished and to Dan as well. Dan you talked about adding 12 billion cans this year after adding 12 billion last year. From a big picture perspective, can you walk through your major regions and maybe just discuss, which might require imports this year and are extremely tight versus maybe regions where your supply situation might be getting maybe more comfortable or more normal?
Dan Fisher: The 2021 capacity and you could -- it's probably reflected in my commentary for where we see growth in 2022 was overwhelmingly in North America. We did put in a Greenfield facility in South America we'll see the benefits of that. And we did incremental investments in both South America and EMEA. But transitioning in 2022, there will be more capacity going into South America, and North America, that's where the majority of the $12 billion exit rate of installed capacity will come from. And then in 2023, you'll see -- in 2024, you'll see a pretty significant step up in EMEA.
Anthony Pettinari: Okay, okay, that's helpful. And then just on EMEA, you obviously have a large Russian business. Do you anticipate the moving the Ruble and intensions there to have any financial or maybe operational impact in the quarter? And can you help us understand how you might be sort of insulated from geopolitical risk? Or how you're thinking about that?
Scott Morrison: Yes, what truly runs is a dollar-based business as most of the Russian economy does tied to oil. So and our treasury team does have an incredibly effective job of insulating us from valuation changes in the currency, so you don't see much of that, to be honest.
Operator: Thank you. Our next question is from the line of Mike Leithead with Barclays. Please go ahead.
Mike Leithead: Great. Thanks for taking my question. And I want to echo my congrats to both John and Dan. First on beverage packaging and in the America, just as we're bridging to 2022 and earnings potential for that business can you maybe just help us with what one-time occurrences that hit the expense line that should roll off as we get into this year? And just what type of operating leverage we should expect from volume growth as well?
Dan Fisher: I'll make a comment and then I'll give it over to Scott for additional detail. I say when we talk about -- when we talk about time and time again, here in the prepared remarks, sort of the net inflation drag the majority of that was North America related. And it's how we pass-through inflation in our PPI mechanism. So when you're thinking about a year-over-year bridge, you should see the benefits of that inflation transition show up throughout the year, because not every contract renewal happens on January 1. There were, as you can imagine, countless supply chain challenges, et cetera. I'm cautiously optimistic that the supply chain and the ecosystem is going to stabilize somewhat, I can't guarantee that. But I do believe you'll see improved performance because we have exited North America in a much healthier inventory position in 2021, heading into 2022 than we had in 2020. That should improve the net inflation pass-through. And I'm very encouraged with the execution as we just commented on in terms of the project, those will all be there for us to lean into. I expect North America to have a really nice year next year.
Scott Morrison: Got it, I mean the only thing I would add is exactly on the PPI adjustments, some happened in the first quarter, some happened in the second quarter, and some won't happen until the third. By the third quarter, we should see all of that benefit, or all of that cost recovery coming back to us, if you will.
Mike Leithead: Great, that's super helpful. And then second, just on capital deployment. If we go back to the Investor Day, should be about a year or so ago, you talked about roughly a billion dollars of CapEx per year through 2025. And now it seems like we're going to be running at double that this year and maybe a little bit that's coming out of buybacks versus what you talked about last quarter. So can you just talk about what's driving that change? I'm just assuming the organic growth opportunity has simply gotten better. But just any color on kind of how you're looking at that and the tradeoffs there?
Scott Morrison: Yes. I think it's really the organic growth continues to strengthen. We're entering into additional contracts, long-term contracts with customers. And so we have a high degree of confidence in deploying this capital. It really hasn't changed a heck of a lot from our view in our Investor Day in 2020. If anything, it's just gotten firmed up more and become more real. And so we're executing on those plans.
Operator: Thank you. Our next question is from the line of Arun Viswanathan with RBC Capital Markets. Please go ahead.
Arun Viswanathan: Sorry about that. Good morning. Thanks for taking my question. Congrats on the retirement, John, and congrats to you, Dan as well.
Dan Fisher: Thank you.
Arun Viswanathan: I guess just wanted to understand, we did hear some rumblings of some demand pullback, or even some -- maybe some COVID impacts in Q4. But it doesn't seem like there was any real impact on your business. I guess was there any COVID impact? And I guess, going forward, I guess, would you expect any impact from absenteeism or anything else like that, that would linger and potentially put some of your projects at risk?
Dan Fisher: Yes, thank you for that question. I would say COVID didn't impact our demand with the exception of precautions in South America, where it's peak season down there. And they didn't allow for the public gatherings to the same extent. That's the one where it's most acute. And we can describe that and understand that. We're absolutely experiencing some impacts to production here in the first couple of weeks of January. I mean, it's the wave of Omicron is hit. I think we had nearly double-digit dislocation of our manufacturing folks in all three regions here. Last week, it's where it peaked. I think it's sharply rose, and now it's sharply declining. So I think, we got a chance to deliver a strong first quarter. But yes, on the demand side, COVID, with the exception of South America, I'm not entirely sure we saw much impact. And I think the other question that you had was just relative to demand profile in general. For us, we've been very fortunate that the partners that we have are winning in the marketplace. And so I think in that regard, and we've, obviously, there's a ton of focus and has been for the last six months, the spiked seltzer category, we had minimal exposure to that, coupled with the fact that a number of our key partners are doing extraordinarily well in the marketplace. So that may be an insulation from maybe other participants in the market. But I'll leave it there for now.
Arun Viswanathan: Thanks for that. And then, just as a follow-up, I guess, you obviously had talked about the 25 billion and 45 billion of units that you plan to bring on. That was about a year ago. There has been some other announcements by yourselves and other competitors subsequent to that. Do you still think those are kinds of the range that we'll expect to see? Or you see that maybe there's some upside to that or given the demand continues to be robust that some of these markets are on fire. I've seen some real strong numbers in the RTD ready to drink cocktail market as well. So maybe you can just update us on your capacity plans and maybe for the industry as well? Thanks.
Dan Fisher: Yes, first is our Investor Day 2020 late 2020, when we sort of laid out a multi-year growth plan. So as we sit here today and was referenced in a previous question, we've spent capital in excess of what we had planned at that time, up to this period, which is all good. We have really solid contracts to back it, EVA generative opportunities. So based on what we've seen thus far, we're going to take advantage if those opportunities continue to show up and manifest in the same way we'll lean into them. We've got a healthy balance sheet, as Scott's already indicated, and if there's more opportunity to grow, we'll take advantage of it. I think one thing that is a sign towards more growth is if you reference and maybe Ann could send this out as part of our materials. But Ellen MacArthur Foundation produced the top 10 CPG companies and their producer responsibility, recycled content targets over the next five years. Every one of them has a significant improved target position that they've said publicly, and they can't get there without aluminum is the bottom line. So we didn't see that type of target in earnestness behind public targets from our largest customers. They're out in the public domain now and they're going to have to hit those. So there's quite a lot of belief, at least as we sit here in Broomfield, Colorado today that we've got more upside than we do downside in those projections.
Operator: Thank you. Our next question is from the line of Angel Castillo with Morgan Stanley. Please go ahead. Your line is open.
Angel Castillo: Hi, thank you for taking my question and congratulations to you both gentlemen. Just wanted to follow-up on the volume number that you noted for the fourth quarter of 7%. Given what you kind of outlined for the various reasons it seems like there might have been, maybe more in the kind of non-reportable segment that was strong growth. And I assume that's essentially imports to, whether it's North America or other region. So I was just wonder if you could give us a little bit more color on, kind of what the numbers were for the non-reportable. And then, for imports, as you see those into 2022 how should we think about those in terms of absolute numbers versus the strong 2021 that we saw?
Dan Fisher: Yes, thanks for the question. You're exactly right. The other non-reportable was up double-digits. And it's from our -- a combination of our joint ventures around the world majority owned assets. So think Saudi Arabia, Southeast Asia cans were going into markets that were oversold from all of those areas. So that contributed to the uplift. I haven't [ph] made the comment on imports. I can tell you from our position we are oversold in all three markets heading into the year. And we will have to continue to shift in unnatural patterns from those locations into Europe and North America in particular in 2022. I can't comment on the competitors. But we'll continue to see import cans for sure from us to the extent that our competitors need them. I don't know that information.
Angel Castillo: Got it. And in terms of finished goods, you noted that inventory as you continue to work towards normalizing that. I think in the past, you've given kind of a sense for in terms of days where we are today versus historical. Could you just kind of update us on that how much more work there is left to do to get to a place where you really feel kind of back to normal and have good inventory heading into kind of the summer season?
Dan Fisher: I think in Europe, we're very close to where we need to be. And in North America, I don't have the specific number. I think it was in the range of will be 10 days better than we were a year-ago. In terms of finished good and that that can be a -- two weeks is, is a much better buffer than how we ended the -- began the year last year.
Operator: Thank you. Next question is from the line of Salvator Tiano with Seaport Research Partners. Please go ahead. Your line is open.
Salvator Tiano: Yes, thank you very much. And John congratulations on the great carrier and Dan congratulations on the new role.
Dan Fisher: Thank you.
Salvator Tiano: Firstly I want to ask a little bit about hard seltzer market. And since recently, there have been some introductions in some more mainstream products with glass packaging. And there seems to be some saturation with all these brands and having all these different products of this substance. Really small subcategories of what was the hard seltzer market? Do you see any reef there that some of your customers in order to differentiate themselves may start people think it will be towards other packaging substrates?
Dan Fisher: No. I think the can because of the recycled content attributes and because of the commitments from all the major CPG companies. They just can't get to these commitments by transitioning into these other substrates. It's -- it'll be dilutive. I think the can is winning, it will continue to win every metric we have suggest. We're doing more with our major customers and they're telling us they're going to lean into the can more and more. So that -- from that standpoint, I think we're in a good spot. And then I just refer you to previous commentary on the spiked seltzer market. Our exposures very limited to that. And yes, I'll leave it at that.
Salvator Tiano: Okay, great. And, I know you've discussed topics before unless I need support, but I'm just wondering, what do you think about the high -- the elevates CapEx number this year and especially next year's guidance? If you were to look a few months or a year back, how have things changed just because of inflation on that $2 billion figure?
Dan Fisher: Inflation is a part of it, but a very small part. The real driver is opportunities that we have to deploy capital. It's too bad during COVID. We're not doing plant tours and things, but if you went to Glendale, Arizona, that would be a great example of investments that we're making that are really just spectacular facilities. So it's really driven more by opportunities and increasing our capacity versus inflation. I mean, there's definitely some inflation in steel and putting up buildings and things like that. But that's not what's driving the increase.
Operator: Thank you. Our next question is from the line of Phil Ng with Jefferies. Please go ahead. Your line is open.
Phil Ng: Hey, guys. Congrats, Dan in a new role, and John, thanks for all the help over the years.
Dan Fisher: Thank you.
John Hayes: Thank you.
Phil Ng: My first question, Dan, you've been pretty explicit saying that 2022 North America is going to be sold out again. But when we think about supply demand for 2023. How are you thinking about it? I mean, are you expecting to get more balanced at that point, are still pretty much on allocation?
Dan Fisher: Yes, 2022, 2023. It's a great question. 2022 what we see in front of us were oversold. 2023 will continue to be tight based on every conversation that we're having with our customers. I just continue to think this is the case. No, I don't think this is a 2022, 2023. Things get right supply demand balances out; I think the sustainability tailwinds are so pronounced. And the commitments are now so public from our customer base that they are going to have to move into aluminum to hit those goals. And so that's what we're monitoring right now.
Phil Ng: Okay. That's really exciting. And then may be a question for Scott. For 2021, you had a net inflation drag from some of these non-metal impact. Did you call out what that headwind was in 2021? And for 2022 how should we think about startup costs relative to that $42 million you saw this year, and will have a bigger impact on margins in South America, just given the amount of capacity that's coming on in that area?
Scott Morrison: Yes, in terms of the inflation, it was over $120 million of net inflation that we had to take in 2021. The vast majority of that being in North America, the rest most of the being in Europe. As it relates to startup costs, we had $42 million in the U.S., we had $50 million overall. So we thought we'd be a little higher in the U.S. more of that a little bit of that shifted into the first quarter. So we won't see a decline necessarily. I think startup costs will still grow a little bit, because we're still looking at expanding facilities here. As it relates to South America though the startup cost really gets driven by North America where labor rates are higher. And so bringing people in six months early to train is more costly than it would be in South America. So while South America will have a tick up in startup costs, it's not gigantic.
Dan Fisher: And Phil --
Phil Ng: Got it. So, Scott. Sorry, go ahead.
Dan Fisher: A build on -- a simple build on that is if we're spending capital at a light rate, and we're standing up capacity in Greenfield's at a light rate, you'll start to see us comment less on startup costs, because it's a recurring expense. And so, the reason we spoke on it from 2020 to 2021 is a significant step-up in some very large Greenfield facilities. And it was material so that's why we commented on it. So I think we'll probably dissipate from those comments moving forward if we continue to spend, which for the foreseeable future we are.
Phil Ng: Got it. That's awful. And then, Scott the $120 million of debt inflation that is $120 million that you're behind, right? I mean, that you need to hopefully recoup this year. Is that the right way to think about it?
Scott Morrison: Yes, most of that we had to took down in 2021. And then we mentioned about our PPI escalators that we have most of our contracts we'll recover that, but we'll recover some in the first quarter, some in the second quarter. And by the third quarter we should have most of that recovered.
Phil Ng: Got it. And then -- 
Scott Morrison: Every contract is different and so it's not necessarily dollar-to-dollar, but it's pretty close.
Phil Ng: Okay. And then we've seen magnesium prices take up a little bit. Is that something you guys feel good about passing through it pretty timely. And then at least please getting supply as well particularly in Europe?
Scott Morrison: Yes, the metal capacity. So it's just a component of the metal. And things are volatile, I would say the supply chain is very tight and the metal supply chain is very tight. So I'm more concerned about that than I am about any particular component of the metal price.
Operator: Thank you. Our next question is from the line of Kyle White with Deutsche Bank. Please go ahead. Your line is open.
Kyle White: Hey, good morning. Thanks for taking the question. John, congrats on tremendous career and Dan, congrats on the new role.
Dan Fisher: Thank you.
Kyle White: I wanted to ask about inventory levels, but more at the customer level. I guess you have a sense in terms of where your customers are at from their inventory standpoint, specifically in North America. And how much rebalancing do you think needs to take place anywhere to potentially quantify in terms of how many billion units you think they're short on inventories?
Dan Fisher: Yes. I don't have that detail in front of me. I think the team is marshaling through a really thoughtful inventory build plan in North America, specifically, we're in a much healthier position year-over-year. I mean, keep in mind, we understand our A level inventory is probably 80% of our sales volume. We've got annual forecasts that we're operating off of, a lot of the labels that you'd see right now would be super Ball related, et cetera. So anything that would be a change in graphics, I think we've got good line of sight into, and I think the team is going to execute really well here in the first quarter.
Kyle White: Got it. And then I wanted to touch on CSDs, particularly in North America. I mean, historically, this category was driving declines for the industry, but it's now experiencing some growth, which is quite meaningful, given how large the category is. I'm just curious, what you're hearing from your key customers on this in terms of what is driving that growth? And are they bullish on it such that they are actually investing in incremental filling capacity for it?
Dan Fisher: They're absolutely investing and filling capacity for it. Demand aluminum, it's a combination of a slight substrate shift or leaning and all the new products that are being launched in North America are being launched in cans. And it will be interesting to see habits have clearly changed over the last two years, there's more at-home consumption, and that at-home consumption, overwhelmingly benefits aluminum packaging. And so I think the combination of all those three, we're talking to them. We're planning longer-term, in terms of maturity and supply. And I'm kind of bullish on that segment for the foreseeable future.
Operator: Thank you. Our next question is from the line of Mike Roxland with Truist Securities. Please go ahead. Your line is open.
Mike Roxland: Thanks very much. Good morning, everybody. Congrats, Dan, on your additional role.
Dan Fisher: Thank you.
Mike Roxland: And congrats John on all your accomplishments. And in particular, your retirement from all these earnings calls. Just first part of this is probably on what Phil mentioned and Daniel response to the oversold in 2022. Dan you mentioned 2023 will be tight. But you need the word oversold. So I'm wondering how much of your capacity production is accounted for in 2023 at this point?
Dan Fisher: I would say 95% is accounted for. There's probably an element of spot volume. But keep in mind; we've got contracts that roll over at various times. And so it's not a 100% contracted, but it's overwhelmingly contracted. And I wouldn't parse out the -- my comment about not saying we're oversold. I'll give you more detail when we get more into 2022 as it relates to 2023. And we have conversation with our customers right now. Everyone is laser focused on trying to navigate they're here and now getting cans on the shelves. And so we're talking about 2022. But I think our capacity that we're putting in place, as we've said now for several years, it's contracted. It's EVA generative, and it's going to -- we're going to like the returns.
Scott Morrison: And remember, it's January of 2022. So we've been surprised by the upside since our Investor Day. And we're not making great predictions about 2023. But to Dan's comments, everything we're seeing looks pretty dark good.
Mike Roxland: A bunch of great color. And just one question following-up on inventories and current supply chain logistics issues. How should we think about -- how do you think about inventory levels coming out the other side of COVID. So obviously, you had a certain level of level of inventories pre COVID. Should we expect that inventories or you'll be managing to a higher level of inventory going forward? To me -- my sense is that this just in time needs to be modified given what everybody has been experiencing in the last call it 12 to 18 months. I'm not sure what your thoughts are, but just want to get your thoughts around inventory management on a go-forward basis.
Dan Fisher: Yes, I've been in manufacturing for 30 years, and for 29 of those, we've been moving jobs overseas. And we've been low cost country sourcing, and we've gone to a just in time mentality. And I think all of that will change moving forward. I don't know what that means in terms of working capital, use of cash, I would imagine there would be a combination of folks are going to get a hell of a lot smarter and more effective and efficient on the stocking levels, they have to manage that working capital. But you would think you're going to have to buttress the working capital with trucking continues to be a concern, a number of things that you're managing, but I think this just in time inventory phase may be a thing of the past for the next few years.
Mike Roxland: Got you. Good luck in 2022.
Dan Fisher: Terrific. Thank you. Malika, we are a couple minutes over. So maybe we take one more question.
Operator: Certainly. Next question is from the line off of George Staphos with Bank of America. Please go ahead. Your line is open.
George Staphos: Hi, guys. Thanks for fitting me in here.
Dan Fisher: George, we've got you.
John Hayes: We got you.
George Staphos: Oh, my gosh. Well, congratulations to both of you in the next chapters and John, in particular, it has been great working with you the last 22 years and congratulations on all the performance. I guess I have two questions. I guess, first of all, thinking about Europe and what's been going on there from a geopolitical standpoint, are your customers? Are you doing anything differently to manage against the risk? I don't know that you could. But if there is anything that you could share on how you're guarding against that would be appreciated. Second question, bigger picture, Dan, how do you see the company's evolution on a couple of fronts over your tenure relative to John's tenure vis-à-vis what you're going to do to promote sustainability in aluminum place and how the footprint of Ball's facilities evolve over time you have all these opportunities coming in, you're spending more capital and you should be given the EVA returns that you're seeing, what's it going to mean in terms of your typical plant in terms of its flexibility, size, modularity, and so on. Thanks, guys and good luck in the quarter.
Dan Fisher: Yes. So a lot there. I will tell you, the thing that I'm most proud of to inherit in this role is that and John has steward us to this point, we are a sustainability company. All of our strategies in all of our businesses are tied to circularity. And even in aerospace, we have a wonderful opportunity to lean into our climate censoring technology, our data analytics. And so I think that does a couple of things for us. If you don't have sustainability tailwind, you've got a headwind and our businesses have tailwind. The other thing is, it's an incredibly powerful attractor of talent, not just our incredible culture here at Ball. But folks want to make a change; they want to make a difference. And they can do that at Ball. And so I'm going to lean heavily into that. And I think the leadership team that's supporting me and supporting our 24,000 employees, all believe in that. And so what that means, we have to tell our circularity story, we have to own the aluminum story, we have to improve every aspect of that story. The primary goal of that is recycled content. And I think our supply chain partners know that, we know that. And we're going to try to influence the hell out of that over the next decade. One of the things that John commented on in his prepared comments are, I asked John specifically to stay in role and support this business because he has been a foundational element and storyteller of our product. And John is going to continue to do that at the highest levels of our government, and stakeholders around the world. And we're going to lean on that and continue to build off that. I'd say that that our 24,000 folks are going to are going to define our future a hell of a lot more than Dan Fisher is. But what we have this culture, how we focus on our capital investments, and the company being a sustainability company, first and foremost is something that we've got a hell of an opportunity to build on, George.
George Staphos: Understood. And on Europe and footprint and I will leave it there.
Dan Fisher: Yes, the risk profile maybe I'll talk, we do a phenomenal job. We have a significant presence in Russia. We -- as Scott has indicated, it's a dollar based business that's where the most speculation and geopolitical stability -- instability is right now maybe I can have Scott talk about how we look at hedging, how we protect ourselves in contracts and energy contracts, et cetera.
George Staphos: It's more about what your customers might be doing or not doing and maybe it's something we'll take offline, but it wasn't so much to hedging, but what are you doing to prevent against risk and your customers as well?
Dan Fisher: Yes, they're still investing. They're investing in filling lines at an accelerated rate versus what we've seen historically, they're still bullish. We're still bullish on aluminum cans. And that's why we're continuing to lean in with candidly three new Greenfields in Europe that is a significant -- that's a significant statement by us and our customers that have been contracted for those facilities to continue to grow in those areas.
George Staphos: Okay, Dan, why don't we table it from here. Thanks very much for the time and good luck in the quarter. Thanks guys.
Dan Fisher: Thank you, George.
Dan Fisher: And Malika, with that I will just thank everyone for their questions and look forward to speaking to everybody at the end of the first quarter and everybody stay safe.
Operator: Thank you, ladies and gentlemen. That does conclude today's call. We thank you for your participation and ask that you please disconnect your lines. Have a good day.